Operator: Good morning. My name is Sylvie, and I will be your conference operator today. At this time, I would like to welcome everyone to Fiera Capital’s earnings call to discuss financial results for the first quarter of 2023. [Operator Instructions] I will now turn the conference to Marie-France Guay, Senior Vice President, Treasury and Investor Relations. Please go ahead.
Marie-France Guay: Thank you, Sylvie. Good morning, everyone. [Foreign Language] Welcome to the Fiera Capital conference call to discuss financial results for the first quarter of 2023. Note that today’s call will be held in English. Before we begin, I invite you to download a copy of today’s presentation, which can be found in the Investor Relations section of our website, at ir.fieracapital.com. Also note that comments made on today’s call, including replies to certain questions, may be deal with forward-looking statements which are subject to risks and uncertainties that may cause actual results to differ from expectations. I would ask you to take a moment to read the forward-looking statements on Page 2 of the presentation. On today’s call, we will discuss our Q1 2023 results, starting with an update on AUM flows, followed by highlights of our public and private market platforms as well as our private wealth business. We will then review our financial performance. Our speakers today are Mr. Jean-Guy Desjardins, Chairman of the Board and Chief Executive Officer; and Mr. Lucas Pontillo, Executive Director and Global Chief Financial Officer. Also available to answer questions following the prepared remarks will be Jean Michel, President and Chief Investment Officer, Public Markets; and John Valentini, President and Chief Executive Officer, Private Markets. With that, I will now turn the call over to Mr. Desjardins.
Jean-Guy Desjardins: Thank you, Marie-France. Good morning, everyone, and thank you for joining us today. The first quarter of 2023 was characterized by central banks continuing with their collective challenge of reducing inflation and demonstrating their unwavering resolve to achieve this, regardless of the financial market and economic fallout. This challenge has become further complicated by recent signs of distress in the banking sector as the most aggressive monetary policy tightening campaign in decades begins to take its toll. This has brought into question the ability of central banks to move forward with their tightening plans as they weigh the risks associated with pricing pressures against the growth-dampening impacts on financial market instability. At the moment, the banking sector stress appears to be contained as authorities take extraordinary measures to shore up confidence and limit concern around the financial system. With core inflation continuing to run higher than target and the global economy proving to be surprisingly resilient, we expect central banks to prioritize fighting inflation and pushing forward with their tightening plans. In the capital markets, both equity and fixed income continued their soft rebound, as we saw late in 2022. Our public markets platform posted excellent returns this quarter that has positioned us well for when investors become more comfortable with taking on more risk, both with reallocations to equities and to take advantage of higher fixed income yields. As such, we reported AUM of CAD164.7 billion, a 4% increase from December 31, mostly driven by an increase in public markets AUM to CAD146 billion. The positive market impact in public markets was muted by the exit of one large StonePine mandate from our Financial Intermediaries channel. Year-over-year, end of first quarter 2023 AUM in public markets showed a decrease of 7%, whereas average AUM over the same period decreased by nearly 10%, which is a reflection of the timing of the market downturn which occurred in late March, following a strong January and February 2022. AUM in private markets grew to CAD18.7 billion, an increase of 3%. We saw new subscriptions into our private market strategies, which continued to drive top line growth, with new mandates representing 30% of new AUM flows in the quarter, but are expected to generate an outsize proportion of revenues since our private market strategies command a higher average fee rate. Our private wealth platform grew to CAD14 billion this quarter and is comprised of high net worth clients invested in both public and private strategies. This segment is another key differentiator for Fiera, with clients benefiting from the ability to build diverse portfolios and leverage multi-asset solutions to achieve their individual investment goals. Though we faced some headwinds this quarter on net flows due to StonePine mandates, we are encouraged by the CAD2 billion of gross new mandates generated across our platforms over the quarter. We look forward to building on that momentum through the rest of 2023 as we continue to expand our distribution capabilities globally. I will now turn to our commercial and investment performance across our platforms in the first quarter, starting with our public market platform. We are particularly pleased with the CAD1.1 billion of gross new mandates won this quarter in our institutional channel, driving CAD740 million of net organic growth, due in large part to demand from fixed income strategies, as the asset class has generated attractive returns as central banks begin to slow or now stop the pace of rate hikes. Losses in public markets Financial Intermediaries included the loss of a large client sub-advised by StonePine. Excluding the StonePine impact, net organic growth in Financial Intermediaries was positive, and we are excited about the great developments and momentum being built this quarter within the channel, such as the announcement of our new distribution partnership with New York Life Investments. Turning to investment performance in public markets for the quarter, the global equity market was volatile at the beginning of 2023 amidst U.S. banking sector concerns but ended the first quarter with a solid gain, and our strategies delivered strong performance. In equities, our track record on a trailing 1-year basis showed a significant rebound, as 91% of our AUM invested in equity strategies outperformed their benchmark. A particular highlight is the Atlas Global Companies Global Equity strategy, which outperformed by a notable 6% margin in the quarter. Since the strategy’s inception in 2017, it has outperformed the MSCI World index by nearly 9%. Other large cap equity strategies also added value this quarter, including our Canadian Equity strategy. Fixed income markets also fluctuated in the first quarter as investors weighed the outlook on interest rates in light of elevated inflation and lingering stresses in the banking sector. Bond markets generated positive results, as investors anticipated that policy makers would measure the pace of great hikes as the impact of prior rapid rises begin to have an impact on inflation and to monitor financial stability. As a result, our active universe strategies outperformed in the quarter, with overall curve positioning, widening of corporate spreads and carry adding value to the strategies on the fixed income platform. Now turning to our private markets platform. We continued to grow the private markets platform organically this quarter, with wins in our new real estate debt strategy in Europe as well as in our EagleCrest renewables infrastructure strategy. Private markets, has generated consistent growth momentum since we launched the platform in 2005, and despite the volatile markets has posted consistently positive net sales in the last eight quarters. Investment returns on our private market strategies were, for the most part, positive, as we continue to maintain an excellent track record of performance in the short and long term. In real estate, our Canadian and UK real estate strategies continued to reflect downward property valuation pressure felt across the industry; however, to a lesser extent than in the fourth quarter. The Canadian Industrial Fund continues to generate best-in-class performance despite the challenged environment, with an absolute return in excess of 3% in the quarter. In infrastructure, the strategy generated positive returns in the first quarter and has continued to be resilient compared to traditional equities. During the quarter, an agreement was signed for the acquisition of Amp US, a platform for solar projects in the U.S. We are excited to play a role in supporting energy transition across core markets as we continue to keep ESG in the forefront of our investment decisions and management processes to support long-term value creation for our clients. Our private credit strategies generated strong returns in the first quarter, and our 1-year absolute return improved from fourth quarter for most credit strategies. Recent interest rate hikes positively impacted performance since the majority of the portfolio is floating-rate loans with downside protection being key investment criteria. The recent challenges in the banking sector is causing traditional lenders to restrict their overall available capital and leading to an increase in credit spreads as banks become more risk-averse. This is proving to be beneficial for our various private credit teams, who are seeing an increasing volume of lending opportunities at attractive risk-return profiles. In agriculture, the investment team closed several transactions in the quarter and has seen acquisition activity on the rise in the space. Our team continues to maintain a strong pipeline of opportunities, both with existing and new partnerships, and expects capital to be called in the next quarter to capitalize on these prospects. Notably for this quarter, we are pleased to announce the imminent launch of the Fiera Comox Global Sustainable Timberland Fund, led by a highly experienced team with deep industry experience. The fund will focus on acquiring high-quality private timberland assets globally and will generate revenues not only from harvesting timber, but also the sale of carbon credits associated with underlying forests. In addition to generating an attractive return, the fund aims to make a positive impact by substantially contributing to environmental and social objectives. Lastly, the private equity fund closed a new convertible preferred equity investment in the quarter which benefits from structural downside protection, while retaining upside potential given the conversion option into current equity. Now moving on to private wealth. We view our private wealth business to be a key differentiator due to the long-term relationships that our dedicated investment counselors built as advisers to our high net worth clientele. Because of these longstanding and direct client relationships, we view the assets in private wealth to be less subject to reallocation since we can offer our clients multi-asset solutions and the ability to access alternative investment opportunities while benefiting from an institutional-grade investment process. Commercial performance in private wealth this quarter was impacted by one major withdrawal from our U.S. municipal bond strategy, whereas gross sales in Canadian Private Wealth were additive to our private markets platform. Overall, we expect the demand for expert financial advice to remain robust, especially given the complex considerations faced by high net worth clients looking to optimize their financial [indiscernible]. As such, we continue to build on the momentum of growth across our private wealth business in both Canada and the U.S., and capitalize on what we believe to be a key growth trend in the industry. Over the past 2 years, revenues generated from Fiera Private Wealth have grown at a compounded annual growth rate of 9%. Finally, our tactical asset allocation team’s defensive stance detracted value this quarter with its underweighted position in equities and bonds in the face of the looming recessionary outlook. However, the team continues to deliver positive returns relative to its benchmark over the long term of greater than 2% of pure alpha on a trailing 3-year basis and is a clear representation of the unique solutions offered to our private wealth clients over the long term. So at this point, I will pass it on to Lucas to review the financial results.
Lucas Pontillo: Thank you, Jean-Guy. Good morning everyone. I will now review the financial results for the first quarter of 2023. Starting with revenues, across our investment platforms, we generated total revenues of over CAD157 million in the current quarter. Base management fees were effectively flat quarter-over-quarter, while performance fees, traditionally higher in the fourth quarter, were expectedly lower. Compared to the first quarter of 2022, total revenues were down from CAD172 million. The decrease was largely driven by lower average AUM in public markets, [indiscernible] market declines since Q1 2022 and the impact of client rebalancings out of equity mandates over the course of the previous year. Compared to the first quarter of 2021, total revenues were up from CAD150.1 million, when excluding the impact of dispositions. This represents almost 5% increase despite the volatility we lived through over the course of 2022. Base management fees were also up over that time period, as we continue to shift the product mix to higher-fee private market assets. Looking more closely at private markets revenues for the quarter, private markets total revenues of nearly CAD48 million were up 5% compared to the first quarter of last year due to higher base management fees and performance fees from the growth of our AUM over the year. Base management fees in private markets of CAD41 million were up nearly 14% compared to Q1 2022, driven by additional capital deployment and fundraisings across our institutional and private wealth channels, and increased over 50% compared to Q1 2021 on a base management fee basis. In addition, commitment and transaction fees remain a constant, consistent revenue stream for this platform, representing about CAD3 million in Q1, in line with that achieved during this period in prior years. Private market revenues for the quarter were slightly impacted by a lower share on joint venture projects from our Fiera Real Estate UK operation this quarter compared to the first quarter of last year, due to the timing and completion of some projects, but in line with Q1 2021. The platform continues to maintain a pipeline of projects set to be completed by year-end. However, as previously discussed, timing is subject to project completion and can vary from quarter-to-quarter. Quarter-over-quarter, while private markets base management fees were essentially flat, overall private markets revenues decreased due to the timing and recognition of revenues from commitments and transaction performance fees, which have been consistently higher in the fourth quarter of the year. Private markets, continues to contribute to a growing proportion of Fiera Capital’s total revenue, accounting for 30% of our revenues in the first quarter of 2023. Turning to a review of public market revenues. Compared to Q1 2022, public market revenues decreased 14%, to about CAD107 million, in the current quarter due to lower AUM and resulting base management fees. The year-over-year decrease was expected, as the full effects of macroeconomic uncertainty and downturn in the financial markets began in Q2 2022, causing not only a decline in equity and fixed income markets over the balance of 2022, but also had investors reducing their allocations to equity as an asset class over that time period, thus affecting flows into and out of the asset class. Quarter-over-quarter, base management fees in public markets were up slightly, but overall revenues decreased. The main driver for the quarter-over-quarter decrease was due to performance fees, which again typically crystallize in the fourth quarter, while the increase in base management fees was due to higher average AUM from the improved performance in financial markets. With regards to SG&A, SG&A, excluding share-based compensation, totaled approximately CAD118 million in the first quarter, a decrease of 5% year-over-year. The decrease in SG&A was due to lower compensation costs of CAD3.5 million as well as professional fees, offset in part by rising data and vendor costs of CAD1.7 million in the quarter. A decrease in sub-advisory fees in line with revenues also contributed to lower SG&A this quarter. On a quarter-over-quarter basis, total SG&A expense, excluding share-based compensation, decreased by 10%, largely from the same factors as the year-over-year decrease. Expenses have directionally decreased in line with revenues for the quarter, but not in equal proportion due to typical higher compensation and benefit costs in the first quarter of the year. We continue to closely monitor our operating expenses to be able to respond with agility to an evolving market environment. Turning to adjusted EBITDA and adjusted EBITDA margin. We generated adjusted EBITDA of CAD38.8 million in the current quarter and an associated margin of 24.7%, or 27.5% on an LTM basis. The decrease from the first quarter of last year is due mainly to lower base management fees in public markets as well as the fact that Q1 2022 included a larger-than-usual contribution from share of earnings in joint ventures. Quarter-over-quarter, the decrease in adjusted EBITDA is explained largely by lower revenues from performance fees, which again typically crystallize in the fourth quarter, commitment and transaction fees and share of earnings in joint ventures. Looking at net earnings and adjusted net earnings. The company recognized a net loss attributable to shareholders of CAD2.5 million, or CAD0.02 per share, during the first quarter of 2023, compared to net earnings of CAD3.4 million in the corresponding period of 2022. The decrease was due to lower adjusted EBITDA and higher interest costs on debt in light of rising interest rates. Our profitability in the quarter was also impacted by final adjustments to certain previously disclosed claims provisions of CAD5.6 million and a CAD4 million increase in restructuring costs. Adjusted net earnings were CAD23.5 million or CAD0.23 per share. On a trailing 12-month basis, adjusted EPS was CAD1.09. With respect to free cash flow, last 12 months free cash flow was CAD68 million for the first quarter of 2023, which improved from CAD59 million in Q4 2022, due to higher operating cash flow from the nonrecurring settlement of share-based compensation arrangements with StonePine, which occurred in Q1 2022, and marginally offset by an increase in interest costs due to rising rates. Turning to our financial leverage, our funded debt as defined by a credits facility agreement of CAD450 million was essentially flat year-over-year. Net debt has increased by CAD38 million year-over-year to CAD608 million due to the settlement of certain purchase price obligations and put options over the course of 2022. Our net debt and funded debt levels have stayed relatively constant levels, and we remain well positioned to weather further economic uncertainty and market volatility, with a funded debt-to-EBITDA ratio as defined by our credit agreement of 2.7x and a net debt-to-adjusted EBITDA ratio of 3.3x. We remain committed to delivering value to our shareholders as a fundamental pillar of our strategy. As such, we continue to return capital to our shareholders through our dividend. The board has declared a quarterly dividend of CAD0.215 per share, payable to holders of record on June 19, 2023. This brings our trailing 12-month dividend to CAD0.86 per share, up from CAD0.845 per share in the comparative period last year. I’ll now turn the call back to Jean-Guy for his closing remarks.
Jean-Guy Desjardins: Thank you, Lucas. So the global economy has performed reasonably well in the first quarter of 2023 despite higher interest rates, while central banks continue to work on an appropriate monetary policy, which is still not restrictive enough to bring inflation back to target. While headline inflation is beginning to show signs of cooling, core inflation is not, and significant macroeconomic uncertainties persist regarding future global economic growth and the potential for a recession. In the face of this, Fiera Capital has continued to demonstrate its resilience through our growing and scalable private markets platform which provides a differentiated value proposition to investors, further highlighting the depth and diversity of our investment strategies and prudent approach to capital allocation. We are passionate about identifying opportunities and providing innovative investment solutions to our clients during this period of uncertainty, and we remain focused on executing against the following key strategic priorities. First, constructing optimized portfolios to deliver on client outcomes, our focus is on delivering the specific risk-return outcomes that clients need, with the highest probability of success, which continues to be driven by our asset allocation capabilities. Second, offering innovative investment strategies, such as our recently announced timber fund, where each strategy not only has its own purpose, but also serves as a building block that are complementary to one another and third, contributing to socially responsible outcomes. In every investment we make, we optimize first and foremost for financial returns, while also considering the long-term ESG impact of the decision, fostering sustainable prosperity and fourth, delivering value for our shareholders by effecting all our internal capital and resource allocation decisions with a disciplined value lens. In response to the challenging economic environment, the company continued its efforts on reducing costs over the last two quarters and will focus on the prioritization of our internal resources towards revenue-generating activities. And finally, harnessing the intellectual capital of our diverse and inclusive team, we invest with the objective of helping our employees be at their best and deliver their full potential for our clients and for our shareholders. We will also continue to evolve our distribution capabilities and ensure that we are viewed by our clients as a top solutions provider, both globally and across asset classes, underpinned by leading-edge research, innovation and client-centricity. For institutional investors, we want to continue to be a global counselor to meet their long-term investment objectives. In the Financial Intermediaries channel, we want to keep being the partner of choice for alpha-generating solutions that contribute to long-term sustainable prosperity. Finally, in the private wealth space, we will continue to offer institutional-grade investment advice and asset allocation capabilities to our high net worth clients. Since returning to the CEO position in January, I have quickly made changes to better position our firm to drive organic growth as we continue to navigate a challenging macroeconomic environment. While one key milestone has been the reorganization of a regionalized distribution model, we are focused on building local capabilities, allowing us to strengthen the distribution team’s proximity to clients as well as ensure that they work closely with our investment teams; two critical success factors that, in my view, will drive future growth. In this regard, we will be appointing new regional CEOs whose mandate will be to not only drive regional distribution results, but also to ensure that we have the requisite leadership at the regional level to maintain employee engagement and the local ambassadors for the Fiera Capital brand. So I am pleased to announce that we are finalizing the recruitment of our new CEO for the EMEA region, which is Europe, Middle East and Africa regions, and will be based in London. And as well, we have confirmed the appointment of our new CEO for Fiera Asia, and the recruiting process for the CEO of the United States is well underway and should all be completed by September. In closing, we remain confident in our ability to execute on our strategic priorities and become more efficient allocators of capital that will drive profitable revenue growth, which will ultimately generate long-term value for both our clients and shareholders. So I will turn the call back to Marie-France Guay for the Q&A session.
Marie-France Guay: Thank you, Jean-Guy. This concludes prepared remarks. Operator, can you please open the line for the question period?
Operator: Thank you. [Operator Instructions] Your first question will be from Nik Priebe, at CIBC Capital Markets. Please go ahead.
Nik Priebe: Okay. Thanks. I just wanted to start with a question on the Atlas team. I think you’ve highlighted how they’re generating impressive investment returns. Are you able to update us on where that franchise is at from an AUM perspective, what the average fee rate might look like and just the general outlook there from an asset gathering perspective?
Jean-Guy Desjardins: I think I missed half of the question. So sorry. You will have to repeat a little of it.
Nik Priebe: Yes. No problem. I think you just highlighted that the Atlas team continues to generate pretty solid investment returns. Just wondering if you can update us on where that franchise is at from an AUM perspective. I’m just trying to size the contribution to the broader franchise. And just what the economics on those strategies look like as well, please.
Jean-Guy Desjardins: We’re looking to a couple of slides for the exact numbers, but it’s a little bit more than CAD1 billion of assets total, with an average basis fees of around 40 basis points.
Nik Priebe: Okay. Okay. That’s helpful. And then just on the leverage ratio, you had pointed out that it ticked up in the quarter despite markets and AUM being up. I understand Q1 tends to be a seasonal low point, if you will, for cash flow just because of the pattern of short-term incentive payouts. But it looks like there was a small draw on the credit facility in the quarter. Is that how you would attribute the variability that we see in your leverage on a quarter-over-quarter basis, just an effort to manage the variability of working capital?
Lucas Pontillo: Correct. I mean, again, you’ll see that seasonality make its way into the Q1 numbers each year.
Nik Priebe: Got it. Okay. And then last one before I pass the line, the LTM free cash flow remains below the dividend obligation. But as you pointed out, that includes the impact of some one-time items. I think last quarter you gave us an internal estimate of the run rate payout ratio. Are you able to update us on that just in the context of subsequent market movements and just help us understand where you’re comfortable on the payout ratio?
Lucas Pontillo: So we’re quite comfortable on the payout ratio. I mean, you’re well to point out that at CAD68 million for the current quarter on an LTM basis, it’s obviously less than the dividend paid. I think we have to look both historically and in the future. Historically, in Q1 of 2022, we achieved a free cash flow number of CAD145 million. And as you see the trending that’s gone on over 2022, obviously, we had a couple of drags starting maybe in Q1, going all the way to Q3, of one-time items, as you pointed out. So now you’re seeing the trend reverse itself as we drop off those negative quarters of Q1, Q2 and Q3 of 2022. We expect to be back in line by the end of this year, where the free cash flow will be aligned with the dividend. But I think more importantly, in terms of what we’re targeting as we head into 2024, the target we’ve set for ourselves is to be at a sustainable level of CAD150 million of free cash flow by the end of next year and really to achieve that through three key areas. I think Jean-Guy has already spoken to the changes we’ve made in our distribution model. I encourage you all to spend some time on the performance page of our MD&A really reviewing our strategies. The conclusion we’ve come to here internally is that we’ve got some very unique, differentiated and successful strategies, which unfortunately we’re not able to provide the distribution capacity that they require. So a lot of these changes that have been made in the distribution organization, which will continue to be made over the next two quarters, is being made with the expectation that it will really create pipelines for all these great performing investment strategies that we have and effectively drive organic growth, going forward. The second area is fee realignment. And although we talk a lot about fee compression in this industry, again relative to the investment products and the investment teams that we have, we do feel that we have differentiated strategies where we effectively do have pricing power in certain areas. We will continue to evaluate that over the course of this year and making changes to our pricing schedule.  And then finally, as Jean-Guy also mentioned, we have taken cost measures both at the end of last year and at the beginning of this year, and we will continue to do so as we head into 2024, making the right decisions for capital allocation. I think many of you have already noted to the fact some of the decreases that you’re seeing in SG&A and compensation, and that will continue to be a key area of focus for us as we look to drive efficiency in the organization.
Nik Priebe: Got it. Okay, that’s very comprehensive. Great color. Thanks very much.
Operator: Thank you. Next question will be from Etienne Ricard, at BMO Capital Markets. Please go ahead.
Etienne Ricard: Thank you and good morning. I’d like to start on your private credit platform, focused on Canada and Asia. Are you seeing more capital deployment opportunities in your direct lending franchise as a result of banks pulling back lending to mid-market corporations?
Lucas Pontillo: I heard about pulling back. In terms of our pipeline for private credit [indiscernible], the pipeline is strong. I’d say we even have a stronger pipeline as of today than probably we did as of last year, which sort of indicates that probably the lending from the banks sort of maybe retrenched a bit. I wouldn’t say it’s retrenched as much in Canada as it has as we hear about outside of Canada; for instance, in the U.S. But to that point, the pipeline in our direct lending in Canada, the pipeline in our sponsored credit and the pipeline in our real estate financing businesses remain very strong. Not any weakness compared to prior years.
Etienne Ricard: Great. And commercial real estate has been very topical in recent months. You previously raised the potential to pursue an acquisition in direct real estate in the United States to complement your Canadian and European strategies. How active is your M&A pipeline in this regard? And what sectors of commercial real estate would you be interested in?
Lucas Pontillo: So the first point I’d want to make with respect to commercial real estate is that in our existing real estate businesses, both here in Canada and in Europe, we are significantly underweight commercial real estate. Our portfolios have significant exposure to industrial, multi-residential. So I just wanted to make a point that we’re not subject to the headwinds of commercial real estate, which is still experiencing pressure in the market. So I just want to make that point. With respect to the fact that you raised commercial real estate, because again it is a challenged sector in the real estate market, and does that present opportunities, yes, it can. I still think that there remains to be some – the dust hasn’t settled yet maybe in that sector. Does it present opportunities for us in the U.S. market where we don’t have exposure? I would say, yes, we are mindful of that, and we are looking at opportunities to basically get a footprint into the U.S. market in the near future, I would say, anywhere between the next 6 to 12 months.
Etienne Ricard: Thank you very much.
Operator: Thank you. Next question is from Geoff Kwan, at RBC. Please go ahead.
Geoff Kwan: Hi, good morning. I just have a question on the adjusted EBITDA margin. Kind of as you look out over the next year, like, what do you think would be an achievable margin, even if it’s a ballpark range?
Lucas Pontillo: Now again, we constantly strive to be above 30%. Obviously, we have [indiscernible] with the downturns we’ve seen over the last two quarters, but we target to be in the mid-30% range.
Geoff Kwan: And do you think you could do that over the next year? I know that’s a target that you have, but with also the StonePine, the change in the competition, that had an impact on the margin. I just want to make sure I’m understanding…
Lucas Pontillo: I’d say, frankly, the bigger variable is what the markets do at this point. So again, my point about the target for free cash flow was obviously underpinned by sustained markets over this period of time. So the volatility on the market will have a larger impact on that, for sure. But if markets sustain, we execute against our growth plan, we expect to be in that range.
Geoff Kwan: Okay. I guess my other question was just on the overall fund performance. I mean, it’s been, I’d say, generally positive for a while now, but you’ve had the net redemptions also for a while now. Like, what are your thoughts on why there seems to be this disconnect between performance and flows?
Lucas Pontillo: I think we need to distinguish between sort of what’s driving some of these flows. And I think when you look across our channels, ex what’s happening with StonePine, as you’ve already referenced, even in this quarter we actually had positive organic growth across both public and private markets. So I think again that bodes well from the perspective of creating that organic growth across the strategies that are slated for growth. StonePine sub-advisory is a legacy business for us at this point, and it will continue to do what it does.
Geoff Kwan: Great. Thanks. 
Operator: Thank you. [Operator Instructions] And your next question will be from Graham Ryding, at TD Securities. Please go ahead.
Graham Ryding: Hi, good morning. Maybe you could touch on your just comment there on StonePine. You describe it as a legacy business. What’s the size of the AUM that they’re sub-advising today? And what’s your visibility on further potential outflow sort of weighing on your organic growth elsewhere?
Jean-Guy Desjardins: Jean-Guy here; you’ll notice by my accent. The current level is CAD50 million, roughly. And we are quite, I’d say, in control of the pace at which there might be a leakage going from Fiera to StonePine. And we pay a lot of attention to the revenue side of it. I know you guys are focused on the asset side, but what’s interesting when we look at the revenue side of it is that assuming that on average, over time, markets provide something which is consistent with what you would have as a long-term expected rate of return in equity markets, which in global equities is something like 9% a year, as the asset base grows from market value in time, it pretty much, we believe, covers the potential leakage that may happen from Fiera to StonePine. So basically, what we believe is that the economics of that book of business will, over time, be pretty consistent. But from a quarter-to-quarter or even from one year to the other, because the market values don’t go up in a straight line, we’re going to have all sorts of variability around the ultimate number from a short-term point of view. But we believe that on average, over time, that’s what the consequence or the numbers will come out to be. And that’s basically the view that we have around the StonePine situation.
Graham Ryding: Is it fair to think that the leakage would be more pronounced sort of at this stage, sort of just coming out of the change in the sub-advisory relationship, versus what it may be further out over time? Are you expecting the leakage to sort of decline over time?
Jean-Guy Desjardins: Well, there’s different aspects to that. First, there’s a contractual arrangement, a commitment that contractually limits how much the leakage can be. So at least we know that. There’s a cap on an annual basis. And we’re trying to be as proactive as possible to provide value-added to those clients that goes over and above the StonePine mandate and that goes over and above what we bring as an organization to the StonePine mandate. It’s not just picking the stocks, which obviously StonePine does, but we support that mandate with our infrastructure of compliance and technology and operations and trading. We trade those portfolios. So we have a certain amount of value-added that we bring to the client over and above the stock-picking aspect that StonePine assumed. And there is – we can be in a defensive position about this or we can be in an offensive position. My attitude is toward the offense. And by going on the offense, we have two types of clients in that structure. We have what I would refer to as multi-asset clients. So clients that are StonePine clients but are also clients of Fiera for a number of other strategies. And we believe that those clients are at a very low risk of leakage because they have a solid relationship with Fiera on other investment strategies that are doing a great job for them. The other segment is what we call the single StonePine clients. So clients that have only one strategy, which is the StonePine or the Global Equity strategy. In fact, it’s not StonePine; it’s PineStone now, because the name was officially changed, I think yesterday, to PineStone. So I’m doing a job for [indiscernible] by informing you about that. We have a great relationship [indiscernible]. You should be aware of that as well. So going back to the single-strategy clients, those are clients where by going on the offense we are making a serious effort that I personally am involved in to offer them additional services and additional strategies, investment strategies, that will basically make them clients that will be using the investment management talents of Fiera over and above the Global Equity strategy managed by PineStone. So we think that by having that approach to it, we can minimize significantly the potential leakage and be within, if you want, the legal limits that is part of the agreement that we have with PineStone. And if I – as far as specifically dealing with your question, I think it’s fair to say that the leakage in the first year or 2 is most likely to be higher than the leakage that you would expect on the following years. Because for those clients like the large intermediary client that basically decided to move to PineStone, it’s a large Canadian intermediary client, so I’ll let you figure out who it is, they obviously had in mind to do that for quite a while and they were a bit itchy to go ahead and do it. And I think that what we would be experiencing in the first 2 years is those clients that are a little bit more inpatient about moving, and it should cool down significantly after that. And honestly, that customer, I mean, it’s personal comment that I’m making, I had lunch with [indiscernible], which we do regularly. I have a good personal relationship with him. And I had lunch with him a month ago and we talked exactly about that. And it’s also what he believes the way the trend will be developing, is we may get a little bit more action on that front in the first and 2 year, and then it should cool off quite meaningfully after that.
Graham Ryding: I appreciate the candid response. My last one, if I could, just what are the annual caps or the contractual limits on that leakage?
Jean-Guy Desjardins: I’ll give you a range. The worst case would be between 3 and 5.
Graham Ryding: That’s it for me. Thank you for your time.
Operator: Thank you. And at this time, we have no further questions. Please proceed with your closing remarks.
Marie-France Guay: Thank you. That concludes our call for today. Thank you everyone.
Operator: Thank you. Ladies and gentlemen, this does indeed conclude your conference call for today. Thank you for attending. And at this time, we ask that you please disconnect your lines.